Operator: Thank you for standing by. This is the conference operator. Welcome to the Total Energy's Fourth Quarter Conference Call and Webcast. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Daniel Halyk, President and CEO of Total Energy Services Inc. Please, go ahead.
Daniel Halyk: Thank you. Good morning, and welcome to Total's fourth quarter 2022 conference call. Present with me this morning is Yuliya Gorbach, Total's VP, Finance and CFO. We will review with you Total's financial and operating highlights for the three months ended December 31, 2022, and then provide an outlook for our business and open up the phone lines for questions. Yuliya, please go ahead.
Yuliya Gorbach: Thank you, Dan. During the course of this conference call, information may be provided containing forward-looking information concerning Total's projected operating results, anticipated capital expenditure trends and projected activity in the oil and gas industry. Actual events or results may differ materially from those reflected in Total's forward-looking statements due to a number of risks, uncertainties and other factors affecting Total's businesses and the oil and gas service industry in general. These risks, uncertainties and other factors are described under the heading, Risk Factors, and elsewhere in Total’s most recently filed annual information form and other documents filed with Canadian provincial security authorities that are available to the public at www.sedar.com. Our discussions during this conference call are qualified with reference to the notes to the financial highlights contained in the news release issued yesterday. Unless otherwise indicated, all financial information in this conference call is presented in Canadian dollars. Total Energy's financial results for the three months ended December 31, 2022 reflects the continued recovery of the global energy industry, particularly in North America. Fourth quarter net income of $12.3 million was a substantial improvement compared to $1 million of net income. In the fourth quarter of 2021 reported fourth quarter consolidated EBITDA increased 59% as compared to 2021. However, after adjusting to exclude COVID-19 relief funds and unrealized foreign exchange impacts arising from the translation of intercompany working capital balances, fourth quarter EBITDA increased by 76% on a year-over-year basis. By business segment Compression and Process Servicing generated 44% of 2022 foiurth quarter consolidated revenue, followed by Contract Drilling Services at 33%, Well Servicing at 14% and Rentals and Transportation Services at 9%. In comparison, for the fourth quarter of 2021, the CPS segment contributed 37% of consolidated revenue. Contract Drilling Services 36%, Well Servicing 19%, and RTS segment contributed 8%. Consolidated 2022 fourth quarter gross margin 23% was consistent with Q4 2021 as increased pricing economies of scale offset the increased relative contribution of the CPS segment as well as significant cost inflation and the absence of COVID-19 assistance. Excluding COVID-19 relief fund, gross margin as a percentage of revenue was 23% for the fourth quarter of 2022 as compared to 22% in Q4 2021. Selling, general and administrative expenses for the fourth quarter of 2022 increased by $2.7 million or 32% compared to Q4 2021. As employee compensation was reinstated to pre-COVID levels, higher profit-based employee compensation was recognized in certain segments and no-COVID-19 funds were recorded during the quarter compared to $0.1 million of COVID-19 relief funds being received in Q4 of 2021. Increased North American drilling activity offset lower Canadian activity due to wet weather conditions resulted in an 11% year-over-year increase in fourth quarter total operating days in CDS segment. This, combined with a 28% increase in revenue per operating day resulted in a 42% year-over-year increase in fourth quarter CDS segment revenue. The year-over-year increase in both North American operating days and revenue per operating days in all geographical regions drove a 42% increase in fourth quarter CDS segment EBITDA as compared to 2021 despite significant cost inflation and the absence of COVID-19 assistance.  In Canada, increased industry activity and market share gains contributed to a 15% year-over-year increase in fourth quarter Canadian operating days. Price increases in part due to rig upgrades resulted in a 33% year-over-year increase in fourth quarter Canadian drilling revenue per day, which in turn gave rise to a -- 57% year-over-year increase in Canadian drilling revenue and a sixfold increase in operating income. In the United States, a 4% year-over-year increase in the fourth quarter operating days, combined with a 35% increase in revenue per operating days due to higher pricing resulting in a 40% year-over-year increase in fourth quarter US drilling revenue. After adjusting for a $1.6 million of realized foreign exchange loss on settlement of the company balances. Fourth quarter operating income in the United States increased by $1 million as compared to 2021. Fourth quarter operating days in Australia decreased by 4% compared to 2021 as wet weather conditions continued to negatively impact Australian activity. Such lower activity was offset by a 10% increase in revenue per operating day such that Australian drilling revenue increased 6% as compared to the fourth quarter of 2021. The Australian operating income was significantly and negatively impacted by crew retention and equipment reactivation costs following extended periods of inactivity due to the weather.  The RTS segment also benefited from improving North American industry conditions, a 21% year-over-year improvement in fourth quarter equipment utilization, combined with a 51% increase in revenue per utilized piece of equipment resulted in an 84% year-over-year increase in fourth quarter revenue in the RTS segment. This segment's leverage -- to high activity levels, given its relatively high cost structure was demonstrated by a 128% year-over-year increase in segment EBITDA and a 6 percentage point increase in EBITDA margin despite incurring equipment reactivation costs in response to high activity as well as general cost inflation and the absence of COVID-19 assistance in 2022. Fourth quarter revenue in total CPS segment increased by 90% as compared to 2021. This segment saw a ninth consecutive quarterly increase to its fabrication sales backlog, which was 49% higher on a year-over-year basis and 11% higher on a sequential quarterly basis. Improved natural gas prices provided tailwinds for the CPS segment, parts and service and rental business lines. With fourth quarter utilization of the compression rental equipment fleet increasing by 50% as compared to 2021. CPS segment EBITDA for the fourth quarter of 2022 increased by 207% on a year-over-year basis, with improved pricing and increased activity, driving the 57% year-over-year increase in fourth quarter EBITDA margin despite cost inflation and the absence of COVID-19 assistance. The Well Servicing segment saw fourth quarter revenue increased by 11% compared to 2021, underpinned by a 15% increase in revenue per service hour. Fourth quarter service hours decreased 3% due to cold weather conditions and an extended holiday shutdown in Canada and continued wet weather in Australia. A decrease in service hours, crew retention and equipment reactivation costs, general cost inflation in the absence of COVID-19 assistance more than offset increased North American pricing with the result that fourth quarter segment EBITDA decreased by 6% compared to 2021. From a consolidated perspective, Total Energy's financial position remains very strong. During the fourth quarter of 2022, total reduced bank debt by $28.6 million, or 19% and repurchased 5,638 [ph] common shares under its normal course issue but at a cost of $4.5 million. Total net debt position at December 31, 2022, was $15.5 million and is by far the lowest since we completed the acquisition of Savanna in June 2017. Total currently has $155 million of credit available on its $225 million of available credit facilities. Total Energy's bank covenants consist of maximum senior debt to trailing 12 months bank defined EBITDA of three times and the minimum bank defined EBITDA to interest expense of three times. At December 31, 2022, the company's senior bank debt to bank EBITDA ratio was 0.46 in and the bank interest coverage ratio was 22.68 times.
Daniel Halyk: Thank you, Yuliya. 2022 saw a return to profitability following two years of challenging industry conditions. Entering the year, the global economy continued to recover from the devastation caused by the COVID-19 pandemic, which in turn contributed to relatively strong oil and natural gas prices. While producers increased their capital expenditure programs in response to higher prices, budgets remain constrained relative to prior periods of similar prices. Offsetting this muted response to higher prices was a reduction in energy service industry capacity, following several years of industry contraction and consolidation. In this environment, Total Energy was able to substantially improve its financial performance and increase shareholder returns through significant debt repayment, share buybacks and the restoration of a dividend. I've noted the fact that for the first time in our history, during the fourth quarter, Total Energy generated more revenue in the United States than in Canada. The United States represents a tremendous opportunity for future growth, and we are focused on opportunities to continue to expand our US presence in all business segments. We are optimistic as we enter our 27th year in business. While we certainly cannot predict the future, we remain committed to total core values that have served us well in a highly cyclical industry. This includes taking seriously our role of stewards of our owners' capital, which in turn drives us to only pursue investments that offer appropriate risk-adjusted returns. Absent such opportunities, we will look to return capital to our owners through debt repayment, share buybacks and dividends. As we currently anticipate operating cash flow and cash on hand will be sufficient to fund debt and capital lease obligations and capital and anticipated capital expenditures for the foreseeable future. With this perspective in mind, our Board of Directors approved a 33% increase to total dividend. As we look forward to what appears to be better times for our industry, on behalf of our Board of Directors and our many employees throughout North America and Australia, I would like to thank our shareholders for supporting us through some very difficult times. We will continue to work hard to ensure your trust and confidence is warranted. I would now like to open up the phone lines for any questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Ernest Wang of Baskin Wealth Management. Please go ahead.
Ernest Wang: Good morning. Good morning, everyone. How are you?
Daniel Halyk: Well, thanks, how are you this morning?
Ernest Wang: Doing well. So I just wanted to ask, you guys spent a lot of time talking about, how you expect industry conditions to be better going forward. So, I was thinking, what you think an appropriate return on invested capital would be going for the next couple of years?
Daniel Halyk: So, we have our weighted average cost of capital calculated every year. We don't publish that, but I can certainly see over the years, we expect to receive a minimum 15% pretax return on invested capital over the life of the investment, Ernest. If we can't see that with some reasonable certainty, we're not interested. And so obviously, you're looking at future cash flows, there will be some years where it's zero, other years, it's going to be much higher. But on average, over the life of the investment, if we can't see 15% with -- and that's pretax, net of depreciation, we're not interested.
Ernest Wang: Got it. And you mentioned that you were interested in continuing your expansion in the US, given where your stock is, roughly, I think, 70% of book value. How do you balance your ongoing investments to grow in the US with buybacks and additional – like things like special dividends and debt reduction.
Daniel Halyk: So we look at buybacks is just another opportunity to invest capital. And what we're seeing in the United States, I just came back from a visit to our operations in Texas and New Mexico is there's a huge opportunity. I think the underinvestment within the industry over the past number of years is really caught up, and I think there's a great opportunity for well-run service companies to gain some significant market share, so part of our growth strategy is certainly relocation of underutilized equipment, M&A, organic, new equipment builds, but again, we balance that against share buybacks. Everything else being equal, though, we would prefer growth over contraction. And so in the event of a tie, we prefer to grow as opposed to shrink. But again, that's the lens through which we look at all of these opportunities.
Ernest Wang: And will your primary use of cash apart from the dividend to be focused on debt reduction again in 2023?
Daniel Halyk: Yes. We have -- there's two components to our debt. One is our revolving credit facilities, which, as we mentioned in the release, are currently drawn at $70 million that will take that to zero. The other component is a fixed term debt, it's mortgage debt. That's always been kind of our permanent component of debt and that's secured by a portion of our real estate. We've been rolling that. Typically, it's been $50 million initial debt that after 5 years is down to 40%. We've rolled that now, I think, three consecutive times or two. To us, that's sort of our permanent debt. The other -- the way we look at the real estate is we're sitting on real estate that's substantially – worth substantially more than the net book value and a fraction of it is used to secure fixed rate mortgage debt. And so we use our real estate to lower our overall cost of capital. And the flip side, we could turn around and sell that real estate, do a sale leaseback. The negative would be our operating costs would go up materially. If we sold at market, obviously, the buyer would want market rent. So we've tended to use our real estate to basically back stop what we see as kind of a permanent fix portion of debt on our balance sheet, and that will likely continue.
Ernest Wang: Got it. Thanks. That's all from me. Thank you.
Daniel Halyk: Thanks.
Operator: Our next question comes from Josef Schachter of Schachter Energy Research. Please go ahead.
Josef Schachter: Good morning, Dan and Yuliya and congratulations on a great quarter and the dividend increase. I have three areas I wanted to talk about. First one is when the E&P companies have been talking, they've been saying that the price increases for rigs, fracking, et cetera, kind of peaked in Q4, Q1, and they thought they'd be steady going forward. How do you see things from the point of view of your operations drilling service rigs, et cetera, do you see more price upside in the near-term, or would you have to wait until the summer and see where natural gas prices are and then maybe based on activity levels look at price increases.
Daniel Halyk: It really depends on the business line and the geographical area. And frankly, the specific piece of equipment, I think there's, a lot of different submarkets within this. I would say, overall, you're probably not going to see the rate of price increases that you saw last year. But that said, there's, many areas within our business that supply currently is less than demand. And so there's going to be areas where we're going to continue to see good pricing momentum. There's, other areas that will be flattened out for sure. I think it really depends on the specific market and the specific product or service we're talking about. I'm hesitant to get too specific there for competitive reasons. But overall, I think we see all the markets we're operating in right now is relatively healthy markets. That are working for both the customer and the supplier, but there's probably some further room for growth on price. In other words, we're not at a point where there's new build economics in a lot of our business areas.
Josef Schachter: Okay. Second question is Australia. Can you talk about what's going on there and weather related and is this just something that happens over the winter months here and summer months there? And do you see an improvement in the months ahead? Just how do you foresee what's going on in Australia and how profitability will go for you going forward?
Daniel Halyk: So what we saw last year was basically the back half of the year was extremely wet. Now typically, historically, the first quarter is actually their wet season. And we're talking primarily in the Queensland area. Interestingly, it's been a lot dryer so far in 2023, which is a positive. But literally through the back half of last year, we had rigs sitting for weeks, just couldn't move. It was wet. And so the wet weather has actually abated during what's the -- typically the rainy season. So it looks like the rainy season came early. And so far in Q1, weather has been more cooperative. But it was definitely a material impact on the business.
Josef Schachter: Okay. Do you see -- are you already seeing activity in terms of people trying to book equipment for the next month -- in the next few months. Are you seeing a pickup there?
Daniel Halyk: Yeah. We're -- we currently have five drilling rigs in Australia, all of which are drilling and our service rigs, I'm not sure on the daily count, but we're -- our drilling rigs today are operating at 100%, which they were pretty on and off during Q4. But we're -- as we announced in our preliminary CapEx budget, we're in the process of Australianising a Canadian rig to bring over to Australia for first quarter next year. So we'll be up to six next year.
Josef Schachter: Okay. Great. My last question is you mentioned about M&A in the United States. Are you looking at M&A in all business lines and how much traffic is there, and is this something that you're giving us a heads up to look at that we might see some announcements in the months ahead?
Daniel Halyk: No, I wouldn't. I think we're open to growing. The biggest challenge we have to complete M&A is our cost of capital right now, notably our cost of equity. It's a real limitation. But what I'm saying is we see the US as a significant growth market for us. We're just scratching the surface. We're open to all segments. The reality is where we tend to see most of the opportunities is in the capital asset, heavy businesses. But it's got to work for us. And so I wouldn't say you need to lay awake at night waiting for press releases. The flip side is we can move when we need to move and when it makes sense. And certainly, it's a massive market, and we're just scratching the surface and certainly, you tend to spend your time focusing on jurisdictions where you believe you've got good opportunity, you're able to differentiate yourself and there's room to take market share.
Josef Schachter: Do you have one or two core areas where you're working in the states now where you might try to infill in that area? Like are we looking at the Permian, the Eagle Ford, where -- are there certain basins that you're -- that you have a structure in there now that you could build upon that we should be watching?
Daniel Halyk: Certainly, my recent visit to West Texas and New Mexico, what I saw and the focus in part was our rental business. And what I saw was our rental equipment down there is heads and tails better than most competitors in terms of quality. And there are certain equipment lines we were completely sold out. And there's opportunities to continue to relocate equipment from Canada, and there's also opportunities to probably introduce new equipment, which will help pull demand for other equipment that we have plenty of. And so I'm quite excited about what that market offers for us. And in large part, just again, the quality of the industry fleet in general is quite poor. And these are big capital investments where I think a lot of the private players have -- it's been a tough few years, both in Canada and the US. And I think there's a real hesitation for those privates that have survived to put a whole bunch more money into a sector that hasn't been kind.
Josef Schachter: Okay. Well, I look forward to seeing -- keeping up with the quarterly notes and then also, hopefully, any announcements on growth in the state. So congratulations on the good quarter and the dividend increase and look forward to more good news.
Daniel Halyk: Thanks, Joseph.
Operator: Our next question comes from Jonathan Orford [ph] of BMO Capital Markets. Please go ahead.
Unidentified Analyst: Hi guys. Thanks for taking my call. I might have missed it in the prepared remarks, but I was just wondering if you could provide the color on what impacted the RTS margins quarter-over-quarter?
Daniel Halyk: So one thing we had, frankly, both in the drilling and the RTS was a lot of equipment reactivation. And so on the negative was like literally, we were pulling equipment off the fence that hadn't worked for years. A prime example would be a heavy truck and simple things that one wouldn't think about. But for example, heavy trucks in Canada, there's regulatory requirements that tires can't be more than five years old. So you've got to change out all the tires. We expensed all that, but there were some significant equipment reactivation costs that were all expensed to basically get ready for Q1. The flip side, on the positive side, is what you can see is a relatively not a huge increase in year-over-year equipment utilization translates into a pretty significant increase in EBITDA margin. Again, that reflects the fixed cost structure within that division.
Unidentified Analyst: Okay. That’s helpful.
Daniel Halyk: So again, a lot of Q4, particularly in Canada was getting ready for Q1.
Unidentified Analyst: Okay. That's helpful. I was also just wondering about US gas prices, are you seeing any impact from the regas prices on any business lines in the US?
Daniel Halyk: In the U.S. or generally.
Unidentified Analyst: Okay.
Daniel Halyk: No, sorry, your question, did you say in the US, or is this just a general question of…
Unidentified Analyst: More of a general, like are you seeing any impact from the weak gas prices for activity or anything like that?
Daniel Halyk: So the reality is most of our -- the vast, vast majority of our drilling rigs in North America are drilling for oil. Australia is all gas what drives Australia is LNG. Frankly, what we're seeing and probably our most gas exposed business would be our compression process services is you saw another meaningful increase in the backlog, and we continue to see very, very strong bid activity and quoting activity my sense is a lot of the driver behind that is more an infrastructure build. These are projects, capital projects that are looking beyond short-term gas prices. And so we have not seen any, I would call it, fall out from the weakness in gas over the last couple of months.
Unidentified Analyst: Okay. Perfect. Congrats on the great…
Daniel Halyk: It's probably impacting gas drilling per se, but again, not a lot of our rig activity is tied to dry gas drilling.
Unidentified Analyst: Awesome. Thanks for the color. That was it for me. I'll turn it back.
Operator: [Operator Instructions] Our next question comes from John Bereznicki of Canaccord Genuity. Please go ahead.
John Bereznicki: Yeah. Thanks and good morning, everybody.
Daniel Halyk: Good morning, John.
John Bereznicki: I just want to pick up on the comments you're making about what you're seeing in Canada versus the US. I know at least one major producer has indicated they're seeing maybe less cost inflation in Canada versus the Permian and whatnot. Just wondering if that kind of correlates with what you're seeing? And more generally, can you give us any color on what you're seeing with producer sentiment on either side of the border where you operate?
Daniel Halyk: I would say cost inflation is an issue everywhere. There's supply chain bottlenecks are, I would say, generally easing, but they're still in certain instances, fairly significant. We're continuing to see really long lead times on, for example, Caterpillar drivers. And we're having to plan a year in advance in terms of the CPS segment, major component inventory management. So, in terms of sentiment within the customer field, I think it's, again, fairly uniform. The reality is none of the producers have been drilling for the past two years like there's been $100 oil. And so we didn't see the craziness that you'd normally see with $100 oil when oil was $100, and correspondingly, we haven't seen any material changes when oil settles in at $75 or $80. And the same thing with gas, when gas was $8, we didn't see a drilling response to that. And again, gas historically in Canada has been a much larger part of the drilling piece. It's certainly not, what it was 10, 15 years ago. But it's going to be interesting, John, and you'd have as good or a better idea than I. As we continue to build out North American LNG export capacity, it's -- I'm bullish on gas. I just think for many, many reasons, gas apart from becoming a global commodity, is going to be a desired fuel, energy source and with energy security becoming an increasing problem. I'm bullish on gas in the medium to long-term. And I think what we're seeing on the infrastructure build supports that.
John Bereznicki: Yes. That's great color, Dan. Appreciate it. Kind of related to that, on the heels of the blueberry announcement, historically, you've always had a strong presence in BC. Can you give us a little bit of a feel for what you might see on the ground there as we move through 2023?
Daniel Halyk: Well, we finally saw some licenses issued this week, a big number. Honestly, I think the question, John, is going to be where the rigs going to come from. Right now, to get deep capacity, high hook load, high-pressure rigs to substantially increase drilling activity in Northeast BC. I don't know where they're going to come from.
John Bereznicki: Interesting. That’s good color.
Daniel Halyk: And also the collateral equipment surrounding those rigs, key pieces on solids, control and all that kind of stuff, I don't know where it's going to come from.
John Bereznicki: Okay. No, that's helpful. And just one last one. Just given the performance of CPS in Q4, is it reasonable to assume that the legacy mandates you were doing that were kind of dragging on margins are in the rearview mirror now?
Daniel Halyk: Yes.
John Bereznicki: Okay. That's helpful, Dan. Appreciate the color. That's all for me.
Daniel Halyk: Thanks, John.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Halyk for any closing remarks.
Daniel Halyk: Thank you all for joining us this morning, and we look forward to speaking with you after our first quarter. Have a great weekend.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.